Operator: Good morning, ladies and gentlemen. My name is Pim and I will be your conference operator today. I would like to welcome everyone to the Green Organic Dutchman Second Quarter 2021 Results Conference Call. To ensure an enjoyable experience for all participants, all lines have been placed on mute. Following the presentation, we will open up the call for questions.  This call is being recorded on Thursday, August 12th, 2021. I'd now like to turn the conference over to Shane Dungey, Vice President, Investor Relations. Please go ahead.
Shane Dungey: Thank you, Pim. Good morning and thank you all for joining us for our Q2 conference call. Today we'll provide comments on our performance, as well as an update on our operations and how we're executing our plans. This call is being recorded and the audio recording will be available on the Company website at tgod.ca. Joining me on the call this morning are Sean Bovingdon, Chief Executive Officer and Interim CFO, and Michel Gagne, Chief Operating Officer. Today's discussion includes forward-looking statements. We caution that such statements are based on management's assumptions and beliefs and are subject to uncertainties and other factors that could cause actual results to differ materially. I refer you to our news release and MD&A for more information on these assumptions and factors. With that, I'm going to turn the call over to Sean.
Sean Bovingdon: Thanks, Shane. And good morning, everyone. Thank you for joining us today. So while we remain in a highly dynamic environment, our Q2 results show continued progress in our financial position, with our transition plan gaining momentum. As previously disclosed, we achieved record revenues in Canada thanks to our improved product portfolio and as the COVID restrictions are being relaxed. This is a significant achievement that would not have been possible without the hard work and dedication of our talented team. This morning, I will share what we're seeing within the industry and provide an update on the actions we've taken to continue to transform TGOD into a profitable and agile organic cannabis producer that stands to benefit from accelerated growth in Canada and internationally. These include improvements to our portfolio, innovation, and marketing approaches. Then I'll hand it back to Shane and over to Michel to discuss the financial and operational details of the quarter and how we'll continue to deliver on our objectives. A key objective in the quarter, the monetization of our Valleyfield Quebec subsidiary was achieved. TGOD's wholly-owned Quebec subsidiary, Medicon Organic, completed the sale of the majority of its assets net Valleyfield for $27 million. Upon closing, TGOD also received a 5.76 million deposit refund from HydroQuebec. A key objective in this transaction was also the ability for TGOD to secure a leaseback for approximately 80000 square feet of cultivation and processing space at the Valleyfield facility. This cements our footing in a strategic Quebec market and gives us the ability to increase production, as the market requires. Concurrent with the Valleyfield disposition, we repaid the remaining $30.9 million principal balance of our senior secured first-lien credit facility. Settling all of our outstanding obligations and terminating the loan agreement with that lender. During the quarter, we continue to transform TGOD by adding flower strengths and launching our highly successful Sativa Flower for sale nationally. Michel will discuss these and other product innovations in some greater detail. Meanwhile, we continue to work with retailers and provincial boards, to stay in the online momentum with the aim of increasing market share. We added to our bench strength recently with the addition of our Chief Growth Officer, Gayle Duncan. Ms. Duncan most recently provided consultative marketing services through a private practice to companies like Hydro One  Tim Hortons. And with the addition of Gayle, as season marketer and proven sales growth enabler, I've even greater confidence in our ability to continue to deliver against our objectives. There are clear opportunities to continue to accelerate this growth. We'll continue to invest tactically to drive momentum with focus and flexibility, including investing resources towards engagement with cannabis retail chains, which is not something we have previously done. With the stores open we're receiving positive feedback that our improved flower is generating interest and driving revenue with consumers looking for the quality, consistency, and high THC level that the TGOD promise delivers. We've adopted a disciplined approach to capturing the biggest opportunities while making ongoing portfolio decisions faster. Dried flowers are still by far the largest category, representing 64% of all Canada sales in Canada. In addition, we are seeing craft strains performing exceptionally well. As such, with our clean kraft process. We rolled out our new Sativa Organic Flower portfolio nationally. Along with our Marrakech Gold Blonde Hash under the Highly Dutch brand. And in the coming months, we will add other innovative products such as RIPPLE QuickSticks which Michel will talk about. In conclusion, we are pleased with our progress and we remain focused on execution and financial discipline. I will turn the call over to Shane now to discuss how we are delivering results through this continued dynamic environment.
Shane Dungey: Thank you, Sean. Today I'll go over our Second Quarter results and highlight the progress we've made as part of our turnaround plan. We registered a record quarterly consolidated revenue of 11.8 million, consisting of sales from cannabis products in Canada of 10.4 million and hemp-derived product sales in Europe of 1.4 million. This represents a quarter-over-quarter increase of 32%, including a 55% increase in Canadian sales. Canadian growth was really driven by fulfilling the TGOD promise of delivering high quality, high THC of flower, across our premium and Highly Dutch brands. European revenues were affected by the impact of COVID-19 on distribution channels and sales levels are -- in Europe are expected to normalize towards the end of the year. We experienced a gross profit before changes in the fair value of biological assets of 3.27 million compared to 1.34 million in the previous quarter. And 0.99 million in Q4 2020. This positive result is primarily driven by the year-over-year improvement of 2.87 million in the Company's gross profit before changes in biological assets. The Company's cash return on each sale has improved as the efficiencies of scale are being realized at the Ancaster facility. And as fixed costs are being absorbed across higher production rates in line with the Company's expectations. We continue to focus on cost containment programs with the G&A expenses remaining relatively flat compared to the prior year at 5.74 million. Despite the Company experiencing additional professional expenses and costs related to the annual meeting in Q2. We do expect G&A expenses to normalize in line with Q1 2021 levels for the remainder of the year. We registered a net loss of 32.48 million for the quarter, comprised primarily of the non-cash loss on assets held for sale developed at the facility of 17.69 million. and a loss from operations of 9.08 million compared to a $9.9 million loss for the same period last year.  However, cash outflow from operations was only 5.8 million in comparison was 8.29 million for the same period in the prior year. The Company expects to achieve positive monthly operating cash flow before the end of 2021. As you can see the momentum we built in Q1 2021 continued in Q2 and we're driving for growth as we strengthen our balance sheet. With the aforementioned sale of Valleyfield and the repayment of our senior secured credit facility, We have continued to improve our financial flexibility. We remain confident with the progress we've made will enable us to continue growing through the end of the year. With that, I'll pass it over to Michel.
Michel Gagne: Thank you, Shane. Firstly, I would like to say again, I'll be pleased we are from an operational standpoint about the volatile transaction by being able to leave the portion of the facility we were already using. We eliminated potential operational risks. There has been no disruption. It's also a positive outcome for our team at this site. And it reinforces our commitment to the significant Quebec market where our brands performed very well. Secondly, the implementation of CleanCraft to fulfill the TGOD promise enabled us to gain credibility with consumers and budtenders. And we all know that credibility is the bedrock of a successful business. Boards, retailers, and consumers now know they can count on TGOD to deliver consistent products and experiences as well as high potency in terpenes content, leading to more repeat orders and interest and willingness to try a greater variety of our products, including our newest additions. Our improved flower portfolio is continuing to perform very well. Highly Dutch Amsterdam Sativa instantly became our number one selling flower in key markets, and our unique premium Sativa flower, organic Sugar Bush has been receiving glowing reviews for its potency, terpenes level, and consistent quality. To continue building on this momentum, we recently started cultivating three news strains, which should be on market during the fourth quarter. At the same time, we are driving continuous improvement across our supply chain, resulting in their better service levels and our reduction of the time required from order to delivery. This also contributes the building the credibility of the Company and the fact that we are consistently supplying the market with a high-quality product on a short-term timeline is truly a game-changer. It's exciting to see the improved execution across all teams. The fact that we are able to make those improvements while keeping tight control on costs makes me really proud. Thirdly, our team has been busy developing new products to expand our current portfolio of 2.0 skews. Last month, we started shipping our new Highly Dutch Marrakech Gold Blonde Hash, reinforcing our presence in the growing segment of cannabis extract following the success of our Highly Dutch Afghan Black Hash, Marrakech Gold is now available in DC, Manitoba, Ontario, Quebec, and newfound  should be available in Alberta shortly.  We are also expanding our lineup of RIPPLE by TGOD products with the introduction of QuickSticks available in select markets this month. QuickSticks is an exciting product that is similar to our quick-dissolving RIPPLE powder that can be consumed directly on the tongue without mixing with liquid or food. Nothing is quite liked them in the market right now, becoming different flavors. And as I mentioned on the last call, they are a top seller in Colorado. And with that, back to Sean.
Sean Bovingdon: Thanks, Michel. I would like to note we continue to explore strategic opportunities including further monetization initiatives with our subsidiaries and/or the potential for mergers and acquisitions within the Canadian cannabis LP sector. We're also pursuing other international opportunities, specifically focusing on Germany, Mexico, Australia, and South Africa. TGOD is one of the very few Canadian licensed producers with access to the Mexican market with four skews already well into the review process by the Mexican regulators. And in Australia, we have made great strides with our local partner for medical cannabis partners lease CAM and expect to move towards exporting product shortly. As previously mentioned, we're also considering a listing on the Canadian Securities Exchange, which would allow for immediate involvement in potential opportunities in the U.S., where we know cannabis as legal for medical or adult use in many of the states. There's a lot of exciting things to come in Q3 and Q4. In closing, thank you to our TGOD employees for the continued hard work, and to you, our shareholders s for your continued support. And with that Operator, we are ready to take questions.
Operator:  Your first question comes from Tamy Chen with BMO. Please go ahead.
Tammy Chen: Hi. Good morning. The first question is, could you talk a bit more about your liquidity position? You're expecting to hit monthly positive cash flow sometime before the end of this year, but I'm just looking at your balance sheet. I think you've got about $8 million of cash-on-hand, and do you feel that that's sufficient to bridge you to when you think you can get to positive cash flow?
Sean Bovingdon: Hi, Sammy. Thanks for joining us. With the -- on top of the 8 million cash on hand, you will note actually in the notes that we got an additional $3 million term advance from our revolver facility as well. So, together with that funding as well as the cash on hand, that gets us in a good position towards the cash flow positive from operations is expected on a monthly basis by the end of the year.
Tammy Chen: Okay. Understood. And then I just want to ask about the sequential increase in the cannabis revenues. So I've seen some of the larger peers not discuss seeing the benefit of reopening to their sales in this Second Quarter, and really talking about that recovery coming in the Third Quarter or even later than that, but seems like you've benefited from some level of recovery given the sales increase. So, can you talk a bit more about that? Was there a big load-in of some new products that contributed to this strong sequential growth? Just any more color there, and how sustainable you think that may be through the rest of this year.
Sean Bovingdon: So there was -- to the extent that the store started to reopen, the real impact is the ability to get to -- in front of bartenders to show our new products, and our reps and our sales group, being able to go in, funded the stores to show the Sugar Bush to show the CleanCraft, and to show the TGOD x promised quality of the flowers. And that's what talking to in terms of the stores being reopened. We saw that mostly -- really starting to take impact in June. So, when we look at the quarter for April, May, and June, June was our record month. And that's part of the trend, going into Q3 and Q4 that we're looking for. So there may be a little bit of load for the new stores in June that keeps July flat compared to June. But going forward with more and more stores open, and more importantly, a bigger impact frankly, has been the distribution we're getting from the retail chains. So, signing up with fire and flower and high tide and sparely from one planet, those are the things that really impacted our distribution greatly, and with the stores now being opened and our reps being able to go in and then visit the bartenders in those stores as well. We're expecting to have additional skews taken on by those retail chains as they build on the success they're seeing from the Sugar Bush and the Highly Dutch brands that are selling well.
Tammy Chen: Got it, okay. And if I can squeeze just one more in. I'm curious about inventory management for you guys. I don't know if you're progressing full capacity out of Ancaster or you're not producing currently apps will capacity because of the level of demand in the market. But I am just curious about inventory management with respect to how much of your output falls within the spec that you're looking for, whether it's potency or whatnot, and how you're managing biomass that may not fall into the spec to what you want. Thanks.
Sean Bovingdon: Yes, I'll pass that to Michel, it's good positions that we just go through that every quarter and look through the drill plan and information. Lastly, I'll let that with Michel.
Michel Gagne: Yeah. Thanks for the question, Tamy. So, no. We're not at full capacity and Ancaster. We still have room and on top of that, we -- the yields are increasing quarter after quarter. So what we can get from the same crops right now in the same facility is bigger than before. So we have room to grow there and in Ancaster and also, as we mentioned previously on our Valleyfield deal. We have a cultivation zone available for us and we have started the work to get ready when required. We have a 23,000 square feet cultivation zone available for us to grow even more. As for what we grow, and how we use everything we grow, so this is why it's good to have the type of portfolio we have because we can balance the results of our crops. So, we have premium products that we have in our TGOD jars about the bud size. We have our Highly Dutch category with the 28 grams for more flour material, and also with the ash category. This allows us to use all extraction material that we generate because we do generate for sure extraction material when we harvest. So this is why our well-balanced portfolio allows us to use everything we're growing right now.
Tammy Chen: Great. Thank you.
Operator: Your next question comes from Jack Keating with Mackie Research Capital. Please go ahead.
Jack Keating: Hi, everyone. Jack Keating here from Research Capital. My first question relates to M&A or licensing opportunities in the U.S. and then I was hoping you could give some clarity on what type of Company you're after and how far into the process you are.
Sean Bovingdon: Hi, Jack. Thanks for that. In terms of the U.S., the initial conversations we've had with maybe half a dozen particular groups until we get the CSC listing to be able to really show creditability in terms of being able to make the investment or make the transaction. Those discussions have been at a high-level kind of initial discussion stage. From our perspective, the kinds of groups we're looking-forward are range from groups that have some retail capability in the U.S. because we don't have experience in that in ourselves so groups that may have that. But more importantly, it's ones that can build on our halo(ph) and benefit and have some synergy with us, particularly on our CleanCraft process and being able to help craft growers in the U.S. And about 1600 of them in the Clean Green directory in the U.S. that are looking to expand and are looking for brands, and IP, and capability in genetics that we possess, and can partner with them to help -- both us get a foothold in the U.S. and help them expand their existing footprint as well. Focusing mostly, as I said in the past, in the kind of Northeastern tier two states, Ohio Virginia, Missouri potentially, as opposed to California's that are very saturated and expensive markets to try and get entry into.
Jack Keating: Great. Thank you. And my follow question relates to revenue growth, and I was hoping you can provide some guidance on revenue expectations for the next few quarters and where that revenue will come from.
Sean Bovingdon: We generally don't give exact guidance. However, as you noticed in the MD&A, there was an update to the forecast to the end of October that was based on the previous perspective. And that will give you some elements towards that at a -- from a net sales perspective on the Canadian side. We'll be in the 35 million range plus hemp Poland and top takes us over the 40 million marks for the calendar year in terms of net revenue. So, that's kind of where we are for this year. Most of the -- biggest part of our sale is the flower. It is the premium flower and it is our Highly Dutch, Amsterdam Sativa, Rotterdam Indica. Together they make up about 70% of our sales. And about 40% of that is from Quebec. The next biggest category is our Hash. So with the addition of our Marrakech Gold, which is now starting to be available and other provinces on top of the Afghan Black Hash that will make up about 15% to -- more likely closer to 20% of our sales and the balance is mainly ripple and some oil.
Jack Keating: Great. Thank you.
Operator: There are no further questions at this time. Please proceed.
Sean Bovingdon: Okay. Well, again, thank you very much for joining us. I hope everybody stays safe. We've been fortunate, TGOD as working through the facilities and all of our employees being diligent in taking the necessary precautions in both Ancaster and in Valleyfield which has enabled us to continue to produce and to continue to grow as a Company. So I appreciate all the efforts there and I hope everybody on the line here continues to stay safe and appreciate your support. Thanks again for joining us.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines. Have a great day.